Operator: Good morning, and thank you for standing by. Welcome to the Sphere Entertainment Company Fiscal 2025 First Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Ari Danes, Investor Relations. Please go ahead.
Ari Danes: Thank you. Good morning, and coronavirus Sphere Entertainment's fiscal 2025 First Quarter Earnings Conference Call. Today's call will begin with our Executive Chairman and CEO, Jim Dolan, who will provide an update on Sphere. Dave Burns, our Executive Vice President, Chief Financial Officer and Treasurer, will then review our financial results for the period. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Please refer to the company's filings with the SEC for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On Pages 5 and 6 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income or AOI, a non-GAAP financial measure. And with that, I'll now turn the call over to Jim.
James Dolan: Thank you, Ari, and good morning, everyone. When we opened Sphere a little more than a year ago, our goal was to redefine the live entertainment experience. We started that journey in Las Vegas and have made headway improving our Sphere's innovative business model. From the beginning, our vision also included a global network of venues. In October, we took an important step forward when we announced plans to bring the world's second Sphere to Abu Dhabi. An international capital that welcomed more than 24 million visitors last year. The Abu Dhabi venue is expected to be similar in scale to Sphere in Las Vegas. And under the terms of our partnership, the Department of Culture and Tourism Abu Dhabi, will fully fund its construction. We will receive a franchise initiation fee, which grants them the right to build the venue using our intellectual property. In addition, our team plans to provide both pre and post-opening services that leverage our expertise in infrastructure. And as part of a multiyear marketing partnership the Experience Abu Dhabi brand is now an official partner of Sphere in Las Vegas. This is a significant milestone in expanding Sphere's global footprint, and we look forward to sharing more details as we move forward. Turning back to Sphere in Las Vegas. We remain focused on optimizing our operating model to maximize revenue while enhancing the guest experience. To that end, we continue to refine our strategy for the Sphere experience, including show count and pricing. In September, we debuted our second original production VU2 and immersive concert experience. VU2 joins postcards from Earth and our expanding library of experiential content. We are actively developing future productions and look forward to introducing new experiences to audiences in 2025. Beyond original content, strong consumer demand continues to drive concerts and events at Sphere. This past quarter, we hosted the UFC, which became our highest grossing single event so far. The Eagles recently extended their multi-month run again with new days into March. And next week, we welcome back Formula One and the Las Vegas Grand Prix as part of our multiyear agreement. As we have said, running multiple event types on the same day is a focus of ours. We have started showing the Sphere experience on the same day as residencies and we plan to run it during the upcoming F1 event and throughout Anima's multiday run, which begins around New Year's Eve. In addition, Sphere continues to gain traction as a platform for corporate partners. In June, we hosted our first keynote event with Hewlett Packard. And we recently announced that Delta Airlines will present at Sphere during the Consumer Electronics Show in January. In terms of sponsorships, in October, we announced Verizon as the official mobile wireless partner of Sphere. We also recently signed a multiyear marketing partnership with Ticketmaster. These partners, along with the experienced Abu-Dhabi will be integrated across various marketing assets, including the Exosphere. So with a year of operations under our belt and a second sphere location now announced, we are moving in the right direction and remain confident in the long-term outlook for this next-generation medium. With that, I will turn the call over to Dave.
David Byrnes: Thank you, Jim, and good morning, everyone. For the fiscal first quarter, we generated total company revenues of approximately $228 million and an adjusted operating loss of $10.2 million. Our Sphere segment generated first quarter revenues of approximately $127 million as we welcomed over 800,000 guests to 225 events, along with an adjusted operating loss of $26.3 million. These results were primarily driven by our original content category with Sphere experience, which generated approximately $71 million in revenue across 207 shows in the first quarter. Our results also reflected 12 performances from Dead &Co as well as the start of the Eagle's multi-month run with 4 shows in September. In addition, fiscal first quarter results included the UFC event and a corporate takeover as well as advertising campaigns on the Exosphere. And with about half of the December quarter already behind us, we are seeing the Exosphere benefit from positive momentum in the last few months of the calendar year. SG&A expenses for the first quarter were $105 million. As we've previously discussed, the infrastructure that we have built out at the Sphere segment, including in areas like corporate and Sphere studios as well as associated content and technology development is designed to support a global network of Spheres over time. Turning to MSG Networks. The segment generated $100.8 million in revenues and $16.1 million in AOI, which represent decreases of 9% and 36%, respectively, as compared to the prior year period. The decreases in revenue and AOI primarily reflect lower distribution revenue primarily due to an approximately 13% decrease in subscribers, inclusive of the impact of MSG Plus. Turning to our balance sheet. As of September 30, we had approximately $540 million of unrestricted cash and cash equivalents. Our debt balance was approximately $1.36 billion at quarter end. This reflected $259 million in convertible debt and the $275 million credit facility related to Sphere in Las Vegas. It also reflected approximately $829 million outstanding on the MSG Networks term loan, which, as a reminder, is debt that is ecourse only to MSG Networks. As you know, MSG Networks is pursuing a refinancing through a workout with its lenders. The debt matured on October 11. However, MSG Networks has entered into a forbearance agreement, which provides that during the forbearance period, the supporting lenders will not exercise certain of their remedies under the MSG Networks credit facilities arising from nonpayment of the debt on the maturity date. That period was initially scheduled to expire on November 8 and was recently extended through November 26, while the workout process continues. We will continue to keep you updated. And with that, we will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brandon Ross from Lateshed.
Brandon Ross: Jim, Exosphere advertising really softened in the quarter after a pretty strong start last year. Any idea why do you think there's a structural issue or execution issue there? And what's your outlook for that piece of business going forward besides the seasonal strength that you called out in the prepared?
James Dolan: Yes, Brandon, I do think that there's a structural issue, et cetera. And we've been busy working on it, and I think we're making a lot of progress. At the same time, we're also learning about the product itself and how our advertisers can use it best. And we're making headway on that. But it's like a lot of things with this project. It's the first Pancake. It's the first time we've done it. And we've learned and we're getting better at it. And I do think also that there are seasonal issues that come into play. I have to say after the first year, you'd have to look at that sort of July, August period as being the softest time per Sphere, sort of almost across the board. Right? And then it starts to pick up momentum in September, and we're starting to see some pretty strong results now. And then going into the beginning of the year, we're looking pretty good. So -- but I mean, the -- that's just part and parcel of starting something new. I wish that the day we let it up that we knew exactly how to run it, exactly how to sell it and exactly how to program it, et cetera, but that's just not the case. So more to come.
Brandon Ross: And speaking of first Pancakes, you launched your first immersive concert with VU2 in the quarter. I was wondering what your assessment is of how VU2 perform? Do you think immersive concerts is a viable category for you? and have noticed improvements in attendance there. What can the company do to continue to ensure further improvement?
James Dolan: Well, look, the beat -- the U2 contract actually was really kind of almost an experiment on our part. Right? Because we didn't know what that product looks like. So we shot it, we put it together. And yes, I think it's a viable product. How you program the product is something I think we're still trying to figure out. Do you program it like you program post cards from Earth, right? And then, of course, look, it really is an amazing product when you see it. You feel like you're at the concert. So we have some great bands that are coming in over the next year. And so I think we will continue to capture their concerts. The using our Big Sky technology, et cetera. How we then bring it to the public and market it. I think we're still trying to figure out what's the best way. And -- but for -- I mean, I wish we could go back to 1965 and capture the beetles. The -- I'm pretty sure you'd all love to see a live beetles concert like you are really there. So that's one we probably can't do. But we do have some and creating a library of these kind of performances. I think is very valuable. Again, how we market it, how we schedule it, et cetera, that I'm not sure of. The -- but I do think that the product is valuable. And I also think that it's going to be ever great. You're not going to be able to see Bono 20 years from now live, except this way.
Operator: Your next question comes from the line of David Karnovsky from JPMorgan.
David Karnovsky: Jim, just on the back of the Abu Dhabi agreement, maybe you can discuss how this has impacted other partner conversations. Should we think of this as a catalyst? And is there anything you're willing to say on timing for future announcements?
James Dolan: Well, I think that we're certainly interested in future Sphere announcements and expanding into other marketplaces. I think that the -- having the -- getting the confidence of the people at Abu Dhabi, right? The -- and showing that we can build a second one, although we already built the first one. So I think it helps and kind of see where it goes from there. But we're still you're wondering whether we're pushing the envelope still, we definitely still are. We definitely want to build in multiple places. We've built an organization that can handle the construction of multiple Spheres at the same time. And so yes, we're still moving.
David Karnovsky: Okay. And then on that, I mean just on the international model more broadly, should we look at Abu Dhabi sort of representing Sphere in the Middle East exclusively. And therefore, think of incremental locations as likely in kind of other parts of the world? Or is it feasible to have multiple Spheres in close proximity?
James Dolan: Okay. Well, I'll tell you what I had a discussion with David Bramble Smith about this morning about how we release information on the Abu Dhabi deal. So I'm going to ask David to just take us through what we revealed so far and what is basically in anticipation of releasing more information about the Abu Dhabi deal. So David?
David Byrnes: Sure. Thanks, Jim. With respect to the specific question on other Spheres potential is, as Jim mentioned, look, we're going to evaluate our international expansion across multiple regions, and we're not in a position right now to make any announcements about what the next region would potentially be. Specifically on the Abu Dhabi deal, we have an arrangement with respect to a number of different revenue streams, which we can talk about as well. But from an expansion point of view, I would think that as we evolve in our thinking, we'll obviously relay that back to the market in terms of what other areas and as Jim mentioned, specifically, it is our intention to, over the next several years, roll out a number of years.
Operator: Your next question comes from the line of Peter Supino from Wolfe Research.
Peter Supino: The question is about the revenue opportunity in Las Vegas. Specifically wondered about residencies, there were 75 year in Vegas give or take. I'm wondering if you think that's kind of the right number or if you see upside to that over time and what you've learned about the availability and relevance of the concert talent and demand out there?
James Dolan: What was that last part? -- that last part got doubled.
Peter Supino: Whether 75 shows seems like the right number of residents you showed in Las Vegas.
James Dolan: Well, that's a good question. I think we don't look at it that way. I think the way we look at it is how to maximize the revenue, right? The -- this year, we did $75 million. But I think a key component of it is that we're -- we ended the year doing what we call side-by-side. Right? So if it's an Eagle show that's on Saturday and starts at 8:00, we have a show in the afternoon, postcards from Earth or BU2 or the other properties that we're developing. And I think that's kind of key. If we can get -- we can keep pursuing this side-by-side. And our hope is that we can get to right shows and then a concert, all in the same day, right? That's a pretty good use of the capital. It's going to generate a lot of revenue. And I probably do that all day long until the cows come home. So we just have to see what we can we can work on it. A lot of this has to do with logistics about setting up the arena for one, and taking it down and then setting it up for the other. But the formula, right, which is really the basis for how we designed Sphere. Right? Was to be busy 365 days a year with multiple shows really changes the venue model, right? That's what we wanted to do when we started this thing was to change the venue model. They create a lot more opportunity for us, right? So basically, I don't know, take the mix and the ranges and the Christmas Spectacular and put it all into the same building and then add a bunch more concert into it. And that's what we want to try and do.
Peter Supino: And following up on that, have you found that there's enough interest from performers who are big and popular enough to fill that building at the price point you require to have a bigger schedule than 75 if the physical constraints are manageable in the way you just described.
James Dolan: I don't think that there's any -- I don't think there's any impediment there. I think we have basically -- right now, we're struggling with 2025, just figuring out how we're going to get the people in who want to get in, right? The acts that want to get in. So no, I don't anticipate that, that's going to be an issue. I think more importantly is what I said before, to get -- to do those with side-by-side really sort of turbo charges the entire model. So -- but no problem with the acts.
Operator: Your next question comes from the line of Daniel Duran from Morgan Stanley.
Daniel Duran: So once the second Sphere opens, what are the largest revenue opportunities for you from the content and services that you will be providing to your partner? And will these be revenue sharing agreements or have more of a fixed payment structure?
James Dolan: Once again, I'm going to turn this over to Mr. Smith, who's going to keep us on the straight and narrow.
David Granville-Smith: Sure. So there are two components of the revenue stream. One will be fixed and one would be variable. On the fixed side, and Jim mentioned this earlier on the call, it will be the franchise initiation fee, the pre and post-opening services and the marketing partnership. And on the variable side, it will be the Sphere Experiences and a royalty fee that we'll get for the IP that they're utilizing. With respect to -- if you look at Las Vegas and obviously, original content is very important. So we do expect that Sphere Experiences will be a big driver of revenue in Abu Dhabi as well.
Daniel Duran: Got it. And following up on that on the studio experiences, will the global -- will the content offering be global? Or will the content be custom to each region or to each newsphere?
James Dolan: Well, the answer to that question is yes. No, it will probably be both. But I do want to point out one thing that's sort of inherent in your question, right? Look, we built this company not to operate one building in Las Vegas, right? A lot of the overhead and stuff that you see for instance in Dave's report, right, is still about the growth of the company, right, particularly in the case of Abu Dhabi with our construction and development division, but also with our content creation et cetera. So the more of these that we do, right, the more we utilize the investment that we made into the company itself to be able to do that. So that's one of the reasons why we're really happy about Abu Dhabi, and we're looking for the next one.
Operator: Your next question comes from the line of Peter Anderson from Bank of America Merrill Lynch.
Peter Henderson: Just can you provide an update on the timing of the release of your next original production at Sphere? And any color you can provide related to the type of the content or the genre or even the cost would be helpful. And then I have a second question.
James Dolan: Well, now you're asking for the special sauce. We don't do the special sauce. You're going to have to wait with everybody else. I'll just tell you, it's going to be great. You love it. We'll tell you more about it later, right, but you know special sauce.
Peter Henderson: Okay. That's fair. Then I guess I saw in the release this morning that you've extended the work out for the MSG term loan. Can you just talk through your considerations in that process, what you believe will be like the outcome? Or do you think you're going to get a haircut to the debt?
David Byrnes: Sure, Peter. I'll take that. Yes, you're right. We extended the forbearance period through November 26 and this gives us additional time as we continue to try to negotiate a restructuring agreement that's acceptable to all of the parties involved. And we'll keep you updated as we get further into that process.
James Dolan: Thanks, Peter. Operator, we have time for one last caller.
Operator: Our final question comes from the line of David Joyce from Seaport Research Partners.
David Joyce: My first question is regarding the residencies for the next year. Could you provide some color on the timing so we can think about the comparability of events year-over-year and what genres those audits are and when they might go on sale.
James Dolan: Again. Well, you like the Eagles?
David Joyce: Yes, ofcouse.
James Dolan: You're going to see a lot of Eagles for a while. The -- but we haven't really announced anything else beyond that, but I will tell you we're just to whet your appetite more and not give you an answer. We're struggling with how to squeeze everybody in through the fall, right, who signed up. But we obviously have not made any announcements, and I don't think today, we're going to do that. But like I said, we don't have any problem with acts wanting to play the Sphere. It's just getting them in and then making sure that we can do these side by side, it's really important to us.
David Joyce: Okay. And then on Abu Dhabi Sphere, could you provide some color on the timing in terms of when construction would start how long the preopening fees would be accruing to the Sphere entertainment and when do you think it might be opening?
David Byrnes: Yes. We have not disclosed yet when we think it will be opening right now. We're obviously in the phase of working with them on the preopening services. So over the course of the near term, that's the real focus, and we'll come back out when we have a sense of that better timing.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Ari Danes for closing remarks.
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a good day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.